Operator: Good day, and thank you for standing by. Welcome to the Hanesbrands' Third Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your host today, T.C. Robillard, Vice President of Investor Relations. Please go ahead.
T.C. Robillard: Good day everyone, and welcome to the Hanesbrands' quarterly investor conference call and webcast. We are pleased to be here today to provide an update on our progress, after the third quarter of 2024. Hopefully, everyone has had a chance to review the news release we issued earlier today. The news release, updated FAQ document, and the replay of this call can be found on the Investor section of our hanes.com website. On the call today we may make forward-looking statements, either in our prepared remarks or in the associated question-and-answer session. These statements are based on current expectations or beliefs, and are subject to certain risks and uncertainties that may cause actual results to differ materially. These risks include those related to current macroeconomic conditions, consumer demand dynamics, our ability to successfully execute our strategic initiatives, including our restructuring and other action-related items, our ability to de-leverage on the anticipated timeframe, and the inflationary environment. These risks also include those detailed in our various filings with the SEC, which may be found on our website as well as in our news releases. The company does not undertake to update or revise any forward-looking statements, which speak only to the time at which they are made. Unless otherwise noted, today's references to our consolidated financial results and guidance exclude all restructuring and other action-related charges, and speak to continuing operations. Additional information on the quarter's results and our guidance, including a reconciliation of these and other non-GAAP performance measures to GAAP can be found in today's news release. With me on the call today are Steve Bratspies, our Chief Executive Officer; and Scott Lewis, our Chief Financial Officer. For today's call, Steve and Scott will provide some brief remarks, and then we'll open it up to your questions. I'll now turn the call over to Steve.
Steve Bratspies: Thank you, T.C. Good morning everyone, and welcome to our third quarter earnings call. Hanesbrands delivered another quarter of strong results. Sales continue to improve around the globe, and we are at the midpoint of our guidance range. And we exceeded the high-end of our range for gross margin, operating profit, and earnings per share. We generated cash and further strengthened our balance sheet, as we continue to reduce our leverage. And with strong visibility to input cost, cost savings and debt reduction, we also raised our fourth quarter and full-year outlook for operating profit, earnings per share, and cash flow. I want to thank all the Hanesbrands associates around the world. Over the last several years, and the last 12 months in particular, we have undergone significant change. Due to the team's dedication, hard work and adaptability, we have significantly strengthened the operational and financial foundations of our business, delivered quarterly results for our stakeholders, delivered value to our consumers and our retail partners, and we have re-platformed Hanesbrands for the future. As we highlighted last quarter, we've taken a number of strategic actions to fundamentally strength the company, and create a more focused, simplified business; one with more consistent top line growth, higher margins, strong cash generation, a wide competitive mode, and multiple levers to unlock shareholder value over the next several years. We're seeing the benefit of these actions in our results, and we have strong visibility to continue profit and cash flow improvement for this year and beyond. We're progressing on the top line, as revenue trends continue to improve sequentially, as expected. On an organic constant currency basis, sales in the quarter were consistent with prior year. And we’re well-positioned to deliver revenue growth in the fourth quarter, driven by several factors. We’re executing incremental holiday and global brand programs. We gained incremental distribution in the Americas. Our Australian wholesale business is rebounding. We have higher levels of brand investment, and we’ll anniversary last year’s challenging fourth quarter. We’re increasing our competitive advantage. In 2024, we’ve launched innovation behind all of our major brands: Hanes, Bonds, Maidenform, and Bali. In the U.S., innovation shipments are up over 30% year-to-date, and we’re on pace for another record year. Innovation is enabling permanent retail space gains, and it’s driving market share gains, particularly with young consumers. We’re delivering structurally higher margins while supporting increased levels of growth-related investments. In the quarter, we delivered a gross margin of 41.8%, and an operating margin of 13%, while simultaneously increasing brand investments to more than 5% of sales. The structural improvement in our margins is sustainable as it’s driven primarily by assortment management and permanent cost savings initiatives. With respect to assortment management, we’re seeing the benefits to gross margin from our continued SKU optimization and reduction efforts, as well as the addition and success of margin of creative innovation. In terms of our cost savings initiatives, this goes above and beyond simply removing Champion stranded costs. This is about operating with simplicity and focus. It’s about streamlining our processes, optimizing our supply chain assets, and fundamentally changing the way we work. In turn, this is driving a lower fixed cost structure, increased operating efficiencies and utilization, all while improving service levels and in stocks with lower amounts of inventory. As we highlighted last quarter, we have detailed plans in place to deliver a step function change in our cost structure and drive to our operating margin target of more than 15%. Specifically in the quarter, we reduced headcount and corporate costs across the organization, and we continue to right-size and rebalance our manufacturing and distribution networks. We’re also generating cash, paying down debt, and reducing balance sheet leverage. Year-to-date, as of the end of the third quarter we’ve generated approximately $200 million of operating cash flow, and lowered our leverage nearly a full turn. Since the end of the third quarter and with the closing of the Champion divestiture, we paid down an additional $870 million of debt in the month of October, which puts us well on our way to delivering our goal of $1 billion of debt pay down in the second-half of the year. So, in closing, we delivered another quarter of strong results, and my confidence and enthusiasm for the future of Hanesbrands continues to grow. We’re seeing the benefits of our strategic actions in our results, and we have visibility to continue margin improvement, cash generation, and debt pay down in 2025 and beyond. We are now even better positioned to accelerate the flywheel of increased earnings growth and faster de-leverage of our balance sheet to drive increased shareholder value over the next several years. And with that, I’ll turn the call over to Scott.
Scott Lewis: Thanks, Steve. I want to add my thanks to the global Hanesbrands’ team for their continued hard work, dedication, and results over the past several quarters. We’ve simplified our business, strengthened our financial foundation, and our balance sheet, and unlocked cost savings that are funding increased investments to drive top line growth. The actions we’ve taken and the changes we’ve made have accelerated a step function change in lowering our cost structure. These benefits are expected to build over the next several quarters, giving us further visibility into continued margin improvement, strong cash generation, and continued debt reduction. For today’s call, I’ll touch on the highlights from the quarter, provide details on the additional debt pay down in October. And then, I’ll provide some thoughts on our outlook, which include raising our profit and cash flow guidance. Overall, we’ve delivered strong third quarter results. We saw continued sequential improvement in top line trends as expected. Operating profit increased 46% over prior year, and interest expense decreased due to lower levels of debt, all of which drove an 850% increase in EPS. For the quarter, net sales of $937 million was at the midpoint of our outlook. This represents a decrease of 2.5% versus prior year, with 180 basis points coming from the overlap of last year's U.S. hosiery divestiture and 75 basis points from FX headwinds. On our organic constant currency basis, net sales were consistent with prior year, representing another quarter of sequential improvement in year-over-year trends. Looking at our segments, in the U.S., net sales decreased 1% compared to last year, in line with our outlook. Despite the challenging environment, our strategy is working, and we're continuing to win in the marketplace. Through increased brand investments, product innovation, and incremental retail programs, our point-of-sale trends have outperformed the market year-to-date. In our international business, net sales increased 4% over prior year on a constant currency basis driven by growth in the Americas and Asia. With respect to our Australian business, sales were essentially flat with last year as we were mitigating the challenging consumer environment of strategic actions to launch innovation, drive consumer engagement, and align our assortment with the current buying behavior of the consumer. Touching briefly on our other segment, all of our year-over-year sales decrease in the quarter was due to the divestiture of our hosiery business, which was sold in the third quarter last year, as well as the completion of the transition service agreement between our supply chain and our previously owned European innerwear business. Turning to margins, we saw significant year-over-year improvement in our gross and operating margins, both of which came in above the high end of our guidance. While we continue to see a year-over-year benefit from input costs as we anniversary the impact from peak inflation, we are also seeing the benefits from our permanent cost savings initiatives and assortment management. This is allowing us to drive structurally higher and sustainable margins while supporting increased levels of brand investment. And this was evident in our results. For the quarter, our gross margin increased 525 basis points to an all-time high of 41.8%. Our operating margin increased 245 basis points to 13%. For our visibility to input costs and our cost savings initiatives, we're confident we can continue to deliver year-over-year margin expansion in our gross and operating margins for the fourth quarter and through 2025 and beyond. And with respect to EPS, our focus on paying down debt yielded a reduction of more than $8 million of interest expense in the quarter as compared to last year. The lower interest expense coupled with higher profit margins drove EPS to $0.15, up from last year's loss of $0.2. Turning to cash flow in the balance sheet, with better than expected profit performance and disciplined working capital management, we generated $92 million of operating cash flow in the quarter and nearly $200 million year-to-date. We also continue to strengthen our balance sheet. Leverage at the end of the quarter was 4.3 times on a net debt to adjusted EBITDA basis, which was more than a full-term lower than last year's 5.5 times. And in October, we paid down $870 million of debt, giving us further confidence and visibility to deliver our goal of paying down $1 billion of debt in the second-half of this year. And now turning to guidance, where all of my comments were referred to adjusted results. As we began the year, while our outlook disowned a community consumer environment around the globe, we expected progression in the year-over-year sales trends each quarter, including a return to growth by the end of the year. And in terms of margins, we said we were well-positioned for year-over-year margin expansion and profit growth in each quarter given our visibility to input cost and cost savings initiatives. The year continues to play out as we expected, which is evident in our results as well as our outlook. We raised our profit and EPS guidance for the fourth quarter and full-year. We raised our full-year cash flow guidance, and we expect net sales to come in at the midpoint of our prior guidance range for both fourth quarter and full-year. Touching on the specifics, we expect net sales of approximately $900 million for the fourth quarter. On an organic constant currency basis, this represents a 3% growth over last year. Turning to operating profit, we expect fourth quarter profit to increase 17% over last year to approximately $115 million, and operating margin to expand approximately 160 basis points to 12.8%. Looking at EPS, we expect fourth quarter EPS to increase more than 130% to approximately $0.14. And with our commitment to pay down debt and our outlook for continued margin improvement, we believe we are well positioned for double-digit EPS growth next year. And with respect our outlook on cash flow and leverage, we raised our operating cash flow outlook for the full-year to approximately $250 million. With our debt payments to date and internal cash generation, we continue to expect our year-end leverage ratio to decrease approximately 1.5 times year-over-year and to end 2025 at approximately three times on the net debt to adjusted EBITDA basis. So, in closing, the year is unfolding as expected. I am confident in our strategy to unlock value creation opportunities in front of us. Sales trends are improving. We're driving structurally higher and sustainable margins and we're aggressively paying down debt. We believe we are well-positioned to increase shareholder returns over the next several years to a combination of double-digit earnings growth and continued debt reduction. And with that, I'll turn the call over to T.C.
T.C. Robillard: Thanks, Scott. That concludes our prepared remarks. We'll now begin taking your questions and we'll continue as time allows. I'll turn the call back over to the operator to begin the question-and-answer session. Operator?
Operator: [Operator Instructions] Our first question comes from Paul Lejuez with Citi.
Brandon Cheatham: Hey, everyone. It's Brandon Cheatham on for Paul. Your guidance would seem to imply a slightly lower gross margin rate in the fourth quarter than the third quarter. I think historically, fourth quarter is typically higher than 3Q, but obviously a lot of things have changed. Were there some factors that allowed 3Q to overachieve versus what you think might be normal going forward? And then, you also had some comments that you think that you can expand gross margin in 2025 and beyond. So, just trying to get a sense of in the context of what was a record high gross margin in the third quarter, how should we expect that to trend over the next quarter and a couple years out?
Scott Lewis: Yes, thanks for your question, Brandon. I appreciate you joining the call. So, on gross margins, I'm very pleased with how our margin performance we've had this year. We began the year, we knew we'd have margin growth and expansion over the year, and that's exactly what we're seeing. And in fact, the third quarter was an all-time high that we mentioned in our prepared remarks of 41.8%. As you look at Q4, we're actually guiding Q4 to be roughly similar to where we were for Q3, so around that 41.8%, so pretty flat. And as you think about our margins going forward, let me actually step back and help frame up how we're thinking about it and how we're approaching our gross margin and operating margin over the rest of this year and '25 and beyond. So, as you look at going forward, the way we're thinking about this is more of a structural expansion and sustainable margins going forward. It's really if we think about it in two phase it's about how we are driving margins. The first, and you've already been seeing this over the last year, the first phase was getting our gross margins back to that pre-pandemic gross margin level and that high 30% range, right? And we achieved that actually at the fourth quarter of last year. Now, we're past the hyperinflation, the input costs have now stabilized, and we're at levels that we expected we priced for and recall that we never priced for the peak of inflation. And so, as you move forward into this year, and we talked about this on the last call, we anticipate that we will be growing our gross margin to that low 40% range. And we're doing that primarily in two different areas of driving benefit. One is in assortment management. As you think about the skew reduction that we've been talking about, and life cycle management, we've been -- we've actually taken out 50% of our SKUs since we've been focused around this. And we're targeting and really attacking, eliminating the underperforming SKUs, the margin diluted SKUs. And that's really driving a benefit to our margins. We're also scaling innovation. As you think about the innovations that we've been talking about, they're margin-accretive innovations. So, that's also driving a favorable mix from a product standpoint. And then, the second part is the cost savings program. We have detailed plans in place that are really driving a step function change as you think about what we can do from a margin performance standpoint. And that spans not only cost of sales, but also SG&A. And as Steve mentioned in the earlier remarks, this goes above and beyond in stranded cost. So, we are streamlining processes, we're optimizing our supply chain, really changing the way we're doing the work, and we're really focused on moving with supply chain, really changing the way we're doing the work, and we're really focused on moving with pace. We've accelerated a lot of the actions into 2024, and we expect the vast majority of those initiatives be completed in 2025. So, again, it goes back to this is a structural change about how we're thinking about the margins that's sustainable going forward. And so, you're getting these savings faster. So, as you think, as you see this play out next year, just like we said this year, we have great visibility to our costs. We have great confidence that we know we can deliver year-over-year margin expansion next year and in the years to come.
Brandon Cheatham: Thanks. That's super helpful. And just one follow-up, now that the Champion sale is officially behind you, are there any synergies maybe from separating that manufacturing capacity that you've uncovered, is that fully contemplated and, getting to that EBIT margin of 15%?
Steve Bratspies: Good morning, Brandon. It's Steve, when you start to back out Champion out of its business, there are some areas where there were dedicated Champion facilities, and obviously those are part of the sale, but there's some other facilities where Champion was a portion of the capacity. We have all that really clearly identified and are taking that cost directly out in addition to a lot of other costs that Scott talked to you about. So, I think of this as an opportunity for us not only to take out what you would define as potentially stranded costs, we have plans to get those out, those will be out by the middle of next year, but we're also going further than that. And Scott talked about that structural change. That's all underway. And actually, it's playing out faster than we originally anticipated. So, we're accelerating those actions as we go forward. And as Scott just said, you're seeing it in our gross margin, so pretty holistic view. We don't expect any hangover. And actually, we expect to improve coming out of this.
Brandon Cheatham: That's great. Thank you very much and good luck.
Scott Lewis: Thank you.
Operator: Our next question comes from David Swartz with Morningstar.
David Swartz: Good morning. Thanks for taking my question. You mentioned your expectations for improving sales trends. I'm wondering if that's based on the point of sale data that you're seeing and discussions with your wholesale partners or both. What gives you some confidence that we are seeing maybe some improving trends there?
Scott Lewis: Good morning, David. Thanks for your question. There's a number of things that are leading into it. And I think I'd go back and remind everybody that at the beginning of the year, we anticipated that sales would continue to improve sequentially. And we're certainly seeing that throughout the year. And then, we'll flip to positive in Q4. When you look at the drivers of that, there's a number of things that get us there through that inflection in Q4. Some of it is the actions that we're taking and that we're seeing -- we've got incremental holiday and brand programs that we didn't have last year that I think are going to make a difference. The space gain, our Australia wholesale business is starting to rebound a little bit and our brand investment's working. So, you put all those together and with, quite frankly, overlapping a challenge Q4 last year, you see us pivoting to growth. In terms of POS directly, it's starting to improve slightly. We're on trend. There it is getting better, but we have not come out of a challenging consumer environment, and we've been talking about that throughout the year. I think that'll continue for a while as we go forward, but we factored all that into our guide and think that we're set up to continue to improve like we showed in throughout the year in the Q4 performance and continue to take market share.
David Swartz: Thanks a lot.
Scott Lewis: Thank you.
Operator: Our next question comes from Paul Kearney with Barclays.
Paul Kearney: Good morning. Thank you for taking my question. You mentioned the increased brand investments from more than 5% of sales. I'm just curious, what do you view as the right level of brand investments longer term in order to drive growth above the market rate on the top line? Thank you.
Steve Bratspies: Yes, thank you, Paul. We've been targeting roughly a 5% investment level, which is where we were this quarter. As we look at our business, the different segments, the global footprint, all our different brands, we roll all that up and we think 5% is the right number. Now, it will be 5% every single quarter. No, it might be a little lower, it might be a little higher, but we're locked into that number right now. And as you think about where we are from a profit and a margin perspective, all those cost savings are going to now be incremental because we're already at that 5% level. So, we don't have to save money to get to that level. So, we feel pretty good about where we are and the returns that we're getting on that investment.
Paul Kearney: Thank you. If I could just follow-up, could you just briefly comment on inventory levels at your retail partners? And, their replenishment order into holiday and your visibility on that? Thank you.
Steve Bratspies: Sure. We feel pretty good about inventory levels. There’s always puts and takes across different retailers. All of our programs for holiday have been shipped and are loaded in with our retail partners. So, we think that inventory is in pretty good shape. Retail inventory is up slightly year-over-year and particularly for holiday. Our shipments are up. We’ve got incremental space. We’ve got incremental programming. Our share of the space is up. So, while we’re reducing our inventory and we’re down 13% year-over-year in the quarter, we are rebalancing with retailers, and feel really good about our holiday loading.
Paul Kearney: Thank you. Best of luck.
Operator: Our next question comes from William Reuter with Bank of America.
Rob Rigby: Hey, good morning. This is Rob Rigby on for Bill Reuter. I just wanted to double-click into costs for next year. I was wondering if you could discuss maybe your outlook for ocean freight costs as well as cotton costs. I think that you mentioned on the last call that you had hedged 60% of your 2025 purchases. I was just wondering if you had any update on that. Thank you.
Steve Bratspies: Sure. When you think about ocean freight -- and obviously there’s a lot of discussion about that, we’re really well positioned for the next several quarters on ocean freight. The vast majority of our moves are inside of our contracts. And in total when you think about a little bit of pressure in the Eastern Hemisphere versus the Western Hemisphere, we’re actually running freight rates below our plans. And what we expected for the year -- and it’s one of the real benefits we have of our supply chain with having an Eastern Western Hemisphere benefit, Western Hemisphere is actually running lower right now. So, we’re offsetting that and feel pretty good about freight and all of our input costs to next year, because we’ve got really good visibility. And we’re basically bought up for cotton for almost a whole year next year. So, we don't expect to see any fluctuation there. So, you step back, we feel really good about our gross margin. You’ve seen that improvement around the year. You’ve seen it all-time high this quarter, and we expect to see really strong gross margin improvement as we go into next year.
Rob Rigby: Great. That’s super helpful. I appreciate it. And then, the second one from us, what debt did you repay in October? I was wondering if you could comment on that. And then, may be any thoughts around the pacing or magnitude of future debt repayment. That would be super helpful. Thank you.
Scott Lewis: Yes. So, thanks for your question. So, the debt pay down, we paid $170 million in October of debt. And it was a combination of the Champion proceeds which is a vast majority. And we also had some internal cash generation. As far as what we paid, it was a mix of the Term A and Term B loans, a little heavier on the Term B loan payment of the mix. And then, as you think about the rest of the year, we’ve talked about the billion dollars. That really puts us in a really good place. We’re really on track for that billion dollar debt pay down. And when you factor that in and the margin growth, profit growth, we’re going to be down about a turn and a half a year-over-year with our leverage. Then, going into next year, we talked about the margin improvement, cash flow. By the end of next year, we’re going to be around the three times leverage. So, really good progress, you can feel really good about it.
Operator: That concludes today’s question-and-answer session. I’d like to turn the call back to T.C. Robillard for closing remarks.
T.C. Robillard: We’d like to thank everyone for attending our call today, and we look forward to speaking with you soon. Have a great day.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect.